Operator: Thank you for standing by, ladies and gentlemen, and welcome to the Danaos Corporation Conference Call on the Second Quarter 2014 Financial Results. We have with us Mr. Iraklis Prokopakis, Senior Vice President and Chief Operating Officer; and Mr. Evangelos Chatzis, Chief Financial Officer of the company. At this time, all participants are in a listen-only mode. There will be a presentation followed by a question-and-answer session. (Operator Instructions). I must advise you this conference is being recorded today, Tuesday, July 29, 2014. We now pass the floor to one of your speakers today, Mr. Chatzis. Please go ahead, sir.
Evangelos Chatzis: Thank you, operator. Good morning, everyone, and thank you for joining today's call. Before we begin, I quickly want to remind everyone that management's remarks this morning may contain certain forward-looking statements and that actual results could differ materially from those projected today. These forward-looking statements speak as of today and we undertake no obligation to update them. Factors that might affect future results are discussed in our filings with the SEC and we encourage you to review this detailed Safe Harbor and risk factors disclosures. Please also note that where we feel appropriate, we will continue to refer to non-GAAP financial measures such as EBITDA, adjusted EBITDA and adjusted net income to evaluate our business. Reconciliations of non-GAAP financial measures to GAAP financial measures are included in our earnings release and accompanying materials. Now, let me turn the call over to Mr. Prokopakis, who will provide a broad overview of the quarter.
Iraklis Prokopakis: Thank you, Evangelos. Good morning and thank you all for joining today's call to discuss our results for second quarter of 2014. We reported a solid second quarter with adjusted income of $11.6 million or $0.11 per share, which is equivalent to $11.8 million or $0.11 per share of adjusted net income for the second quarter of 2013. We maintain the company's profitability between the two quarters through 7.9 million improvement in financing costs together with 2.1 million improvements in operating costs despite the decrease in operating revenues. The decline in operating revenues between the second quarter reflects -- the two quarters reflects $3 million related to the softer charter market conditions and $6.1 million attributable to the reduced charter hire on six of our vessels following the previously announced restructuring of Zim, formalized during July 16, 2014. The reduction in finance costs is expected to continue in the coming quarters as we reduce leverage and benefit from the expiration of expensive interest rate swaps. We project debt repayments in 2014 exceeding $220 million and swap expiration exceeding $1 billion in notional terms. During the second quarter signs of improvement in container market fundamentals have manifested themselves through a reduction of laid up tonnage and improved utilization rates in main trade lanes, although this has not yet been realized an improvement in charter rates. The main industry event for the quarter was the dismissal of the proposed P3 alliance by the regulatory authorities in China. We do not however believe that this is likely to affect the necessary rationalization of tonnage deployment in the industry. Tonnage deployment rationalization, together with continued cost optimization and recovery on demand side should result effectively in a healthier industry going forward. Despite the soft charter market, with 98% charter coverage for the next 12 months in terms of operating revenues, we are substantially insulated from the market volatility and the timing of any recovery. Additionally, our $5,957 daily operating cost clearly positions us as one of the most efficient operators in the industry. We will continue our efforts to de-lever our balance sheet; manage our fleet efficiently and capitalize on the resilience of our business model towards creating value for our shareholders. With that, I would like to hand over the call to Evangelos, who will take you through the financial details of the quarter. Thank you.
Evangelos Chatzis: Good morning everyone and thanks again for joining us this morning. I will briefly review the results for the fourth quarter and then give a chance to the participants of the call to place questions. During the second quarter of the year, we had an average of 55.8 containerships, compared to 60.9 containerships during the second quarter of 2013. During this quarter, we sold four vessels, the Commodore, the Duka, the Mytilini and the Messologi for an aggregate amount of $44.1 million, which represents the gross sale proceeds less commissions. Following these sales, we currently do not have any vessels on cold lay-up. Our adjusted net income was $11.6 million or $0.11 per share for the quarter which is equivalent to the $0.11 per share or $11.8 million for the second quarter of 2013. As already mentioned earlier on this call, 7.9 million improvement in financing costs and a 2.1 million improvement in operating costs was mainly offset by a 6.1 million decrease in revenues related to the Zim restructuring and 3 million decrease in revenues due to lower re-charterings compared to the second quarter of 2013. We want to note here that besides re-chartering risk which is manageable, the most important driver in our earnings to-date is related to the hedging we have in place through industry swaps. Indicatively our adjusted net income for this quarter which is 11.6 million would have been 42.4 million if current interest rate swaps were not in place. Exactly these swaps gradually start expiring this year through the end of 2015. And as a result we expect a gradual consistent improvement in financing cost over the next quarters given the market expectations for persisting low interest rates. With our average charter duration at 8.5 years, well exceeding the two years remaining duration of the swaps, we believe we will be able to take advantage of the anticipated low LIBOR environment on the back of solid contracted income generation. Operating revenue decreased by 7% or 10.2 million to 136.4 million in the current quarter compared to 146.6 million in the second quarter of 2013. As already discussed, 6.1 million relates to the Zim restructuring, while the remainder consists of 3 million decrease related to lower rechartering for certain of our assets due to the continuing soft charter market and 1 million in lower revenues as a result of the lower average number of vessels in our fleet between the two quarters. Vessel operating expenses decreased by 8.5% or 2.7 million to 28.9 million in the current quarter compared to 31.6 million in the second quarter of 2013. The daily operating cost for the current quarter was $5,957 per day, 3.3% lower than the $6,160 daily operating cost for the second quarter of 2013 and still remain one of the most competitive daily operating expense figures in the industry. G&A expenses increased by 0.6 million to 5.3 million in the current quarter from 4.7 million in the second quarter of 2013, mainly as a result of 0.3 million in higher management fees between the two quarters due to an increase in the per day fee payable to our manager effective January 1, 2014, and higher legal fees of 0.2 million between the two quarters. Interest expense decreased by 12.9% or 3 million to 20.3 million in the current quarter compared to 23.3 million in the second quarter of 2013. The decrease in interest expense was mainly due to lower average indebtedness between the two quarters, 203.7 million to 3.1 billion of debt in the current quarter from 3.3 billion of debt in the second quarter of 2013, as well as a decrease in the cost of debt servicing between the two quarters, mainly attributed to the accelerated amortization of our fixed rate debt, which bears a higher cost when compared to our floating rate debt. Realized losses on interest rate swaps decreased by 5.4 million to 31.8 million in the current quarter compared to 37.2 million in the second quarter of 2013. This decrease is attributed to the lower average notional amount of swaps between the two quarters as a result of 500 million in notional swap expirations between the two quarters. As we are rapidly deleveraging the company's balance sheet with particularly all of the generated free cash flow, we expect finance costs to continuously improve in the coming quarters in combination with the swap expirations. Finally, adjusted EBITDA decreased by 7.8% or 8.4 million to 99 million in the current quarter, 107.4 million in the second quarter of 2013. This decrease is mainly comprised of 10.2 million reduction in operating revenues analyzed previously on this call partially offset by 2.1 million improvements in total operating costs. With that, I would like to thank you for listening to this first part of our call. Mr. Prokopakis and will now take your questions. Operator?
Operator: Thank you. (Operator Instructions). Your first question comes from Mark Suarez from Euro Pacific Capital. Please go ahead.
Mark Suarez - Euro Pacific Capital: Yes, good morning guys. Thanks for taking my questions. So far you sold five vessels and total cash flow seems about 51 million in asset sales sort of consistent with what you’ve done last year that trend of asset sales. Should we be thinking about maybe one or two acquisitions perhaps this in the 2,600 TEU range maybe some of your vessels sort of inline with what you have done in the past or are you think it’ll maybe taking your time in going to the larger side tank segments?
Iraklis Prokopakis: Yes. Hi Mark, good morning. It’s true we have cash in 55 million total out of the sale of the five ships. This money is still on our balance sheet and we have not yet decided whether they would be utilized for reinvestment this is something that will be reviewed from September onwards. We will keep you updated.
Mark Suarez - Euro Pacific Capital: Great. And just on that and if you can just maybe touch on the second half tonnage market at a macro level. How would you sort of describe the Panamax and sub-Panamax categories right now? Are you finding any viable deals that sort of make sense giving your internal return targets and are these mostly charter attached or charter free?
Evangelos Chatzis: There is no question that the Panamax market is shattering today, mainly by cascading. We do expect that however that eventually and following the rationalization of the networks the Panamax market will have to recover. Post Panamax vessels they are still in demand, they do not enjoy the rate that they should, but certainly there is demand for these vessels, especially by desperate operators and traditional charterers.
Mark Suarez - Euro Pacific Capital: Okay. And maybe we can just turn to your daily vessel operating expenses. You have done a pretty good job and sort of consistent with your recent trend in controlling vessel expenses, especially when you compared to your competitors. What do you think is sort of driving that cost driven advantage between ours and that of our peers. And should we think about this as a good run rate going forward into the next 12 months to 18 months?
Evangelos Chatzis: Well, we have to clarify here that one element in the reduction of operating expenses is the sale of our older tonnage which we found that there was not any point of keeping them any long yet seems the tax rate that we did enjoy were at break even or even below breakeven. So, a substantial improvement into the average OpEx of the fleet was due to the sale and exclusive from the averaging these very expensive vessels. And in addition to that, we do monitor and we have, we believe a technological advantage within these companies in operating of our vessels. And I would expect that if not at actual, at least OpEx will stay about the same level, plus or minus 99 percentage.
Mark Suarez - Euro Pacific Capital: Got you. Okay, that's helpful. And then lastly on the balance sheet for a second. I know you've guided for debt repayment exceeding $220 million in 2014. And maybe if you can I don't know if you have a more specific range for modeling purposes. And also what are you expecting to repay in 2015? Do you have any numbers there that you can give us?
Evangelos Chatzis: We are -- as mentioned earlier on the call, most of -- if not all of our free-cash flow this year towards de-leveraging. So for 2015, I would expect again a number north of $220 million to reduce our debt which is slightly more than half a ton of EBITDA. So for this year are you looking for a quarterly breakup on how that will be repaid?
Mark Suarez - Euro Pacific Capital: No, I am just trying to figure out, I mean I know it's going to be north of 220, so I am just trying to get may be just will it be somewhere in between 220 and 250, I am just trying to get a sense of how much can be your operating cash flow?
Evangelos Chatzis: For 2015, you mean?
Mark Suarez - Euro Pacific Capital: Yes.
Evangelos Chatzis: Yes, it will definitely be north of 220 million. I wouldn't want to give you now -- we’re not providing public guidance on the exact numbers. But yes, it's definitely more that will be paid down this year.
Mark Suarez - Euro Pacific Capital: Okay, great. I think that’s all I have for now. Thanks for your time as always.
Evangelos Chatzis: Thank you, Mark.
Operator: Thank you very much. (Operator Instructions). Your next question is from the line of Gregory Lewis from Credit Suisse. Please go head.
Gregory Lewis - Credit Suisse: Thank you. And good afternoon, gentlemen.
Evangelos Chatzis: Hi, Greg.
Iraklis Prokopakis: Hi, Greg.
Gregory Lewis - Credit Suisse: So I mean just following up on the last question, so with vessels, at shit point where we see the fleet today? I mean you have some 90s built sub Panamaxes but other than -- at this point, I would say are we sort of done purling the fleet or -- and is the fleet kind of positioned for the next cycle in container shipping or beyond doing new vessel acquisitions; is the fleet kind of where you want it to be?
Iraklis Prokopakis: I think we’re done with the sales. Since last year we have sold 14 ships which is the older tonnage. We now have a 54 vessel fleet, seven vessels that are effectively trading on spot, six to one year time charters and the rest of the fleet is period charter with the first expiring 2016. We may reinvest part of the sales proceeds in the second half of the year to use them as to do all equity acquisitions of younger tonnage with provided we find good opportunities in the second hand market. But I think first time being this is it.
Gregory Lewis - Credit Suisse: Okay, perfect. And then just as we think about, there has been comments about the overall idle containership fleet dropping below 2%, clearly a lot of idle vessels are now back working. At what point can we see any sort of stabilization or even increasing in containership charter rates? Is that something where we’re now in the middle of the summer? I mean is this something where we could see this potentially happen later this year or is it more of hey, let’s just maintain and it’s more something where we can see that maybe in ‘15?
Iraklis Prokopakis: The worst thing which someone could do in shipping actually is to make prediction and forecast regarding the charter rate.
Gregory Lewis - Credit Suisse: Sure.
Iraklis Prokopakis: We have seen already an extended period of fast charter age for most of the segments of Panamax below, charges below Panamax vessels. And we have seen transactions of not really very healthy rates for post Panamax vessels. And the expectation was for the market to start having a direction on the basis of the information of the alliances that we had previously in place. However, with the decline of the P3 by the Chinese authorities and maybe some challenges also for the [M2] and the rest of the alliances, we have to see direction after the liner companies will decide in which way they will go to rationalize their networks and position the sizes of the fleets, the right range in order to see whether they will get some revenue power in the boxes. It will be difficult to say anything about charter rates unless we see some of the volatility in the box rates in my view to be taken away.
Gregory Lewis - Credit Suisse: Okay, guys. Perfect. Thank you for the time.
Evangelos Chatzis: Thanks.
Iraklis Prokopakis: Thanks.
Operator: Thank you. (Operator Instructions). The next question comes from the line of [Zach Kirkland, Dias Equity]. Please go ahead.
Unidentified Analyst: Good morning, guys. Congrats on a steady quarter. I just had a question on the swaps. And if you guys could quantify on a per share basis what this means to cash earnings going into next year for the full year?
Evangelos Chatzis: In terms of -- you mean in terms of a swaps expiring?
Unidentified Analyst: Yes.
Evangelos Chatzis: We have this in our presentation which is on our website, I have to access it because I don’t have the exact information right now. But the improvement that you saw during this quarter in financing costs will continue to be there, but in order to go to exact numbers we have to take it offline after the call.
Unidentified Analyst: Yes. And just I am getting about 250 in cash earnings per share is that in the ballpark of what you guys are thinking?
Evangelos Chatzis: It’s in our presentation, I don’t want to give you contradicting numbers over the top of my head, it’s on our website, you can see. I think it’s north of 250 for 2015.
Unidentified Analyst: Okay, that’s fine thank you. And then at what point do you guys think we can start using of this cash flow that you guys are putting off where the banks maybe a little bit more lenient with you guys?
Evangelos Chatzis: Yes, the agreement that we have with our banks gives us the capability to start distributing dividends after we fall below six times EBITDA that will be the ratio. With the rate of how we are deleveraging we will reach that point at some point in 2016, this is our anticipation on the basis of our projections on free cash flow generation, and post that we will have the technical capability to distribute the dividend. However you have to keep a note that the sweeping of our free cash flow will continue after that. And the remaining cash will be after distribution.
Unidentified Analyst: Great, okay. That's all I had. Thank you.
Iraklis Prokopakis: Thank you.
Operator: (Operator Instructions). As we are seeing no further questions. You wish to continue sir?
Iraklis Prokopakis: Thank you all for joining this morning and for your continued interest in our story. We look forward to host in our new next earning calls. Have a nice day.
Operator: Thank you very much. That does conclude the conference for today. Thank you all for participating and you all now disconnect.